Company Representatives: Ron Konezny - President, Chief Executive Officer James Loch - Senior Vice President, Chief Financial Officer
Operator: Good day! And thank you for standing by. Welcome to the Fiscal Second Quarter 2022 Digi International Inc., Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference maybe be recorded. [Operator Instructions]. I would now like to hand the conference over to your host today, Jamie Loch. Please go ahead.
James Loch: Thank Michelle. Good afternoon, everyone, it’s great to talk to you again, and thank you for joining us today to discuss the fiscal 2022 second quarter results of Digi International.  Joining me on today's call is Ron Konezny, our President and CEO. Ron will provide his thoughts on our business, and I will follow with the highlights of our financial performance. We’ve provided a supplemental presentation of our earnings details for your benefit. Following our prepared remarks, we'll take your questions.  We issued our earnings release shortly after the market closed today. We also prepared a supplemental investor presentation highlighting our performance through our second fiscal quarter. You may obtain a copy of both the press release and the supplemental presentation through the financial releases section of our Investor Relations website at www.digi.com.  Some of the statements that we make during this call are considered forward-looking and are subject to significant risks and uncertainties. These statements reflect our expectations about future operating and financial performance and speak only as of today's date. We undertake no obligation to update publicly or revise these forward-looking statements. While we believe the expectations reflected in our forward-looking statements are reasonable, we give no assurance such expectations will be met or that any of our forward-looking statements will prove to be correct. For additional information, please refer to the forward-looking statements section in our earnings release today and the risk factors section of our 2021 Form 10-K and subsequent reports on file with the SEC. Finally, certain of the financial information disclosed on this call includes non-GAAP measures. The information required to be disclosed about these measures, including reconciliations to the most comparable GAAP measures are included in the earnings release. The earnings release is also an exhibit to a form 8-K that can be accessed through SEC filings section of our Investor Relations website. Now, I will turn the call over to Ron 
Ron Konezny : Thank you, Jamie, and welcome everyone to Digi’s 2022 Second Fiscal Quarter Earnings Call. New to this quarter is a supplemental presentation posted on the Investor Relations portion of Digi's website.  Our team delivered outstanding performance in an incredibly challenging environment resulting in several all-time records at Digi. The ongoing COVID pandemic, war in Ukraine, ongoing inflation, recent rises in interest rates and the battle for talent has not prevented us from reaching our objectives, but are limiting our full potential.  We had the highest revenue for any quarter in the company's history of nearly $95 million, an increase of 23% from last year. We are laser focused on delivering enhanced customer value through our hardware enabled, software services and subscription offerings. Our progress is best measured by high margin annualized recurring revenue, which reached an all-time high of nearly $90 million. Through a careful balance of pricing optimization and smart supply chain management, we delivered year-over-year gross margin growth in an environment where macro headwinds challenge margin preservation. We also set new quarterly records for profitability that’s measured in adjusted EBITDA and adjusted EPS.  Our results were broad based. Strong revenue growth and profitability expansion occurred in both our products and services segment and our solutions segment. In our IoT products and services segment, growth was driven by strength in Opengears console server business, which is seeing record demand in both datacenter and edge deployments. We are investing in device and cloud software to further automate key IT requirements.  In addition, we’ve seen growth in our cellular solutions business driven by the return of SmartSense and mass transit opportunities, as well as retail and point of sale connectivity. Improved gross margins show the great teamwork and execution of our business leaders, as we carefully manage cost and price increases, while meeting customer delivery dates. Annualized recurring revenue growth was driven by increased adoption of device management and service offerings.  In our IoT solutions segment, we doubled the size of this group from last year, driven primarily by the addition of Ventus. We added nearly 10,000 sites in the quarter driven by health care, lottery and gaming and retail point of sale verticals. Improved gross margins and solutions was materially increased from last year driven by the addition of Ventus and their annualized recurring revenue contribution. We are making a targeted investment in the segment to accelerate the transition and growth of ARR that remains a multi-billion dollar market opportunity with the vast majority of it underpenetrated and our operating team is well positioned to extend our leadership.  Demand for industrial IoT remains strong and robust and Digi is a market leader given our business model and mission critical combination of reliability, security, scalability and ease of use and management. Demand is growing rapidly notwithstanding the global supply chain constraints. Driven by record bookings, we now have a record backlog.  I want to briefly cover our opportunity strategy and how we've been able to execute as a team. We see opportunities in niche markets within the immense industrial IoT market, most of which is Greenfield. We're leveraging decades of product excellence to drive higher profit, sales in software and service based IoT applications. The digital transformation in the industrial world is being accelerated by the COVID pandemic and a challenging labor environment. Ultimately this means better value and lasting relationships with our customers, stickier revenue and improve financial model. Digi’s offering are easy to deploy and manage and deliver results in the most harsh and demanding environments.  We started on this journey seven years ago, with almost no annualized recurring revenue. Through great work by our team, complemented by thoughtful acquisitions, our annualized recurring revenue model delivers more predictable results each quarter and offers higher gross and operating margins than one time sales of products. Shareholders have been rewarded and we believe that will continue.  Digi’s new model is intact and sustainable. We see double digit annualized recurring revenue and top line growth, expanding gross and adjusted EBITDA margins. We plan to delever the balance sheet with free cash flow after prioritizing business and inventory needs to support our customers, and the integration of Ventus is progressing. Our acquisition thesis is being reinforced both internally and externally.  We will prudently invest in our people, systems the processes to become more efficient in order to deliver an optimal customer experience. Our confidence is growing to reach our targets of $100 million in quarterly revenue, $100 million in annualized recurring revenue and $100 million in annualized adjusted EBITDA.  I will now turn the call over to Jamie for more detail on our financial performance. 
Jamie Loch : Thanks Ron! And good afternoon again everyone. As Ron said, Digi continues to break records and sets the bar higher each quarter, both in terms of the value we deliver to our customers, as well as in the value we believe we continue to provide to our shareholders.  Today I’ll provide key financial highlights that contributed to the results of our record second fiscal quarter. Our new model has pushed our annualized recurring revenue to nearly $90 million as of the end of the quarter, which is up nearly 165% year-over-year. Our recurring revenue during the quarter accounted for nearly 25% of Digi’s total quarterly revenue as we delivered $94.7 million in total revenue, which is up 23% year-over-year.  Page five of our supplemental investor presentation provides an overview on our margin performance. Gross margins were 54.9% and led to an adjusted EBITDA of $19.5 million or 20.6% of our revenue. Gross margins excluding amortization were 56.3% for the quarter. We continue to see stable strong margins in the face of global macroeconomic challenges. Our supply chain team is executing extremely well in this challenging environment.  On a per diluted share bases, our GAAP EPS was $0.08 and our non-GAAP adjusted EPS for the quarter was $0.41. Revenue, adjusted EBITDA and adjusted EPS, all exceeded the high end of the ranges we provided and our FQ2 guidance, as well as exceeding overall consensus expectations.  Page six of the presentation provides certain balance sheet highlights. During the quarter we made an $11.4 million payment against our credit facility, which places our debt position at the end of FQ2 at $288.8 million. We are currently levered less than 3.25x our run rate adjusted-EBITDA. These figures do not consider the treatment of leases, which based on the accounting standards will add $20.5 million of what is now classified as debt on the books, with $17.6 million of that classified as long term.  During our second fiscal quarter 2022, we returned to generating positive cash flow from operations. From a GAAP perspective we generated $5.9 million in cash from operations in FQ2. Our ending cash position for the quarter was $41.4 million. Our ending AAR position is $56.7 million up $7.3 million sequentially from our last fiscal quarter end with no material changes to our reserves. Our ending inventory balance was $51.7 million, roughly flat sequentially and year-over-year.  As stated last quarter, we have leveraged our cash position to better manage our inventory in this constrained, but rapidly changing environment. Again, it is a strong testament of our supply chain team to maintain inventory levels while delivering consistent gross margin performance. Current inventory in the channel is $21.3 million, up $600,000 sequentially from the prior quarter. We monitor those levels closely and regularly.  For our segment performance, we’ll move to Pages seven and eight of the supplemental investor presentation. IoT products and services revenue increased 9% year-over-year in the second fiscal quarter of 2022 to $71.4 million, and gross margins increased 140 basis points to 53.9%. Year-over-year revenue improvement was driven primarily by strength in sales of console servers. The increase in margin rate was driven by product and customer mix.  The Digi supply chain team is doing a fabulous job managing increased production and distribution costs. Operating income increased $4.5 million year-over-year to $9 million for the second fiscal quarter, primarily driven by the revenue growth from the console server business.  On slide eight you’ll see IoT solutions revenue increased 100% year-over-year in the second fiscal quarter of 2022 to $23.3 million and gross margins increased nearly 650 basis points to 57.9%. The increase in revenue is attributable primarily to the Ventus acquisition and reflects our commitment to investing in the growth objectives of our IoT solutions segment. Operating income decreased $300,000 year-over-year to a $1.5 million loss for the second fiscal quarter, driven by the installation of large projects in the prior year that are not repeating this year.  Now as it relates to forward-looking guidance. This is included on slide nine of the supplemental investor presentation. With consideration to the supply chain and the other challenging macroeconomic conditions, we are providing the following guidance for our third fiscal quarter of 2022.  We expect revenues of between $94 million to $98 million, providing growth year-over-year of 19% to 24%. Using a fully diluted share count of 36.2 million shares we expect our GAAP EPS to be between $0.03 and $0.06 per diluted share. We expect our adjusted EPS to be between $0.37 and $0.40 per diluted share, with adjusted EBITDA to be between $18 million and $19.5 million.  For the fiscal year, previously we've indicated that we expect revenue to grow between 16.5% and 23% in fiscal year ‘22 and that we expected profitability, app adjusted EBITDA and adjusted EPS would go even faster between 35% and 55%.  We are not providing specific annual guidance. We would expect to be over the mid-point on both of those ranges for the fiscal year. Additionally, we presently expect our gross margins to continue to hold firm through the ongoing macro challenges. Finally, we expect to have annual recurring revenues greater than $90 million by the end of the fiscal year.  We expected to continue to delever our balance sheet through the year. The quality of our revenue is improving with each passing quarter, which is driving profitability higher. We believe our ability to generate cash and grow top line double digits in the IoT industry is a legitimate differentiator. That concludes our prepared remarks. We are now available to take your questions.  Michelle, please provide the instructions to our callers. 
Operator: Thank you. [Operator Instructions]. And our first question comes from the line of Sam Sheldon with Punch & Associates. Your line is open, please go ahead. 
Sam Sheldon: Hey! Good afternoon guys. Thanks for taking my questions, nice quarter here. Maybe you could just start by talking more about how the early days of integration with Ventus are going and maybe what surprised you most of the deal so far. 
Jamie Loch: Hey Sam! Good to hear your voice. You know it’s gone really well. The good news, we knew Ventus for several years prior to the acquisition, and we share a lot of the same DNA and so a lot of collaboration has been really growth oriented. Of course there's the behind the scenes work we need to do to integrate Ventus into our processes and systems, and of course life as public owned company. But we are pretty excited about the growth synergies, in particular with our Cellular Solutions business. 
Sam Sheldon: Okay, yeah that's helpful. And maybe you could give us a sense for if we backed Ventus and Ctek out in the quarter, can you just talk about what organic growth looked like in the quarter for you guys. 
Jamie Loch: Thanks for the questions Sam. We can’t back out Ventus for SEC reporting rules on the segment reporting. We do reports year-over-year, growth on the product and services segment. And the Ctek contribution was pretty nominal, so that organic growth rate gives you an ideal of how that products and services group has been doing. 
Sam Sheldon: Okay, okay. And maybe Ron you could just address the supply chain, maybe talk in more detail about what you're seeing there and kind of how the availability of components has trended recently for you guys? 
Ron Konezny : Yes, at the beginning of our fiscal year Sam, we really anticipated an easing of the supply chain to start occurring in the second half of our fiscal year and unfortunately while we see some pockets of easing, it’s still a very difficult market out there. I think it got exacerbated by some of the war in Ukraine and some of the things going on in China with the COVID lockdowns.  We are able to still fight through those things and the team deserves just an incredible thank you for fighting, scratching and clawing for individual components, for keeping our third party manufacturing partners up and running, and helping us hit our objectives. We are still far short of our potential. We left millions of dollars of revenue in that quarter on the table, because we couldn't get enough parts. We are optimistic that the supply chain will improve, but it's going to take more time than we originally projected.
Sam Sheldon: Okay, and maybe you could dig into that, just with the demand that you guys are seeing right now, it sounds pretty strong. Can you just talk about what kind of growth you think is possible as the supply chain improves or at least becomes less of a bottle neck over time? 
Ron Konezny: Yeah, so we mentioned this in opening comments. We had another record in bookings, which increased our backlog and that's a good sign having that book to ship ratio be over one, and there is at least $10 million, probably closer to $20 million of revenue we were not able to ship last quarter that got deferred into future quarters. That gives you a feel for what our potential could have been in the quarter, and it's a tricky balance between making sure we deliver our customer needs and also work hard on the supply chain. There's a lot of cost right now in the supply chain between the pricing you need to pay for components, getting things transportated – sorry transported, usually around the world and so we're really doing a good job balancing those really difficult variables. 
Sam Sheldon: Okay. And you guys said that the backlog was at a record level. Did you have a number for what the backlog was in the quarter?
Ron Konezny: No, we didn’t disclose that, but the last quarter we said it was $250 million and we built on that recently. 
Sam Sheldon: Okay. My last question would just be around OpEx. It looks like it's up about 20% year-over-year and presumably a fair amount of that is the inclusion of Ventus or maybe you can just talk about what areas in the organization you're investing into right now, and what hiring plans look like as you guys chase another strong demand that you're seeing in your markets. Thanks. 
Jamie Loch : Yeah Sam, this is Jamie. I do think a lot of the OpEx is driven by the acquisition, but we've also – you know we've been diligent in how we want to expand our OpEx to really position ourselves for future growth, and I think that comes from a combination of people, and it comes from a combination and trade shows are starting to open back up, you're starting to see more traveling, you're starting to see some of those things that are really sales, you know become a profit generating activity. So – and on that investment side we are really taking a keen eye towards the mix between feet on the streets, between product and software expansion and support.  So the largest part of that increase is acquisition, where we very much have an eye on the proper investments that continue to drive growth rate similar to what we've seen and what we talk about in terms of strategic planning. 
Operator: Thank you. [Operator Instructions]. And I'm showing no further questions at this time, and I would like to turn the conference back over to Ron Konezny for any further remarks. 
Ron Konezny : Thank you for everyone’s time on the call today. Our enthusiasm continues to grow for Digi’s future. Our thoughts are with the people of Ukraine and our Digi team members, partners and customers impacted by the war. We vote for peace. A huge thank you to the entire Digi team and our global partners for their dedication and performance in the face so many different market challenges.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day!